Operator: Good afternoon, everyone and thank you for participating in today's Conference Call to discuss Ascent's Financial Results for the Fourth Quarter and Full Year ended December 31, 2023. Joining us today are Ascent's Executive Chairman of the Board, Ben Rosenzweig; CEO, Bryan Kitchen; CFO, Ryan Kavalauskas; and the company's outside Investor Relations Adviser, Cody Cree. Following their remarks we will open the call for your questions. Before we go further, I would like to turn the call over to Cody Cree as he reads the company's Safe Harbor statement within the meaning of the Private Securities Litigation Reform Act of 1995 that provides important cautions regarding forward-looking statements. Cody, please go ahead.
Cody Cree: Thanks, Lateef. Before we continue, I'd like to remind all participants that the discussion today may contain certain forward-looking statements pursuant to the Safe Harbor provisions of the Federal Securities Laws. These statements are based on information currently available to us and are subject to various risks and uncertainties that could cause actual results to differ materially. Ascent advises all those listening to this call to review the latest 10-Q and 10-K posted on its website for a summary of these risks and uncertainties. Ascent does not undertake the responsibility to update any forward-looking statements. Further, the discussion today may include non-GAAP measures. In accordance with Regulation G, the company has reconciled these amounts back to the closest GAAP-based measurement. The reconciliations can be found in the earnings press release issued earlier today and posted on the Investors section of the company's website at ascentco.com. Please note that this call is available for replay via webcast link that is also posted on the Investors section of the company's website. With that, I'd like to turn the call over to Ascent's Executive Chairman of the Board, Ben Rosenzweig. Ben?
Ben Rosenzweig: Thank you, Cody. Good afternoon, everyone. The broader macro environment proved to be a challenge for much of 2023. Specifically, the fourth quarter was more difficult than originally expected as we navigated the impacts of some poor execution on our part, including unplanned downtime at our Bristol facility, along with continued destocking trends throughout both segments. Despite this, we've continued to make notable progress towards our long-term strategic goals. Most importantly, we feel very good about our management team, both strategically and operationally. Chris has been a fantastic strategic leader for the organization, but the turnover we experienced in 2023 showed that we did not have the right operational team in place to fully complete the execution of our strategic vision that began in 2021. In a short time, Bryan and Ryan have proven that they not only share our vision, but they can execute it at the highest levels and extend it to future value creation. We must make sure that the mistakes that the organization has made in the past do not cloud our judgment or patience from turning Ascent into the business we all know it can become. I expect that we'll begin to see some tangible progress in the coming months with meaningful improvement in results during the back half of the year as key components of our cost reduction and product line management efforts take full effect. These efforts do not rely on a strong market recovery nor a significant strategic shift in either segment. So we're confident in our ability to produce improving results in line with these expectations. In the fourth quarter, we completed the sale of Specialty Pipe and Tube or SPT within our Tubular segment. This was an all cash transaction for a purchase price of approximately $55 million, which we used to fully pay down our line of credit. Our improved balance sheet will provide us with the necessary financial flexibility to invest in opportunities that are better aligned with our long-term strategy. We're certainly proud of what we were able to accomplish with SPT under our stewardship, and it proved to be a valuable asset over the past three years within our Tubular segment. However, we believe the inherent cyclicality in its operations makes it a better fit for the private markets, and we're pleased that we were able to achieve a favorable outcome for all parties involved while delivering significant value to Ascent shareholders. The remaining assets within our Tubular segment include Bristol Tubular Products, which is the largest domestic manufacturer of welded pipe from stainless steel, and American Stainless Tubing, which is a producer of premium ornamental stainless steel tubing. While these businesses have not been performing at acceptable levels over the past 12 months, which is a combination of both difficult market conditions and shooting ourselves in the foot, we're working tirelessly to replicate and implement strategies that we believe can positively impact the near-term results. Our top priority remains capitalizing on attractive long-term growth opportunities in the Specialty Chemicals segment. Our confidence in this segment grows every quarter, and we continue to believe this industry can deliver more profitable and predictable revenue streams, resulting in better value for our shareholders over the long term. Our capital priorities for 2024 and beyond remain unchanged. We've been repurchasing shares in the open market as much as possible, and we'll continue to do so as long as our stock trades meaningfully below our expectation of the company's intrinsic value. The 10b5 program that we implemented in Q3 has allowed us to continue our repurchases, and our Board is also evaluating other options to accelerate accretive capital deployment. In terms of M&A, while we remain opportunistic on this front, our resources and focus are currently dedicated towards stabilizing both of our segments. We firmly believe that we have to get our own house in order before we embark on pursuing additional larger acquisitions. So, while we continue to believe there's a large value creation opportunity through inorganic growth, M&A is not a near-term priority. Though 2023 was a major challenge operationally, and some of that difficulty has bled into the opening months of 2024, we feel the sale of SPT at an attractive price, and the recruitment of Bryan and Ryan are both things that move the needle in a big way towards cementing durable shareholder value creation. We now sit here with no debt, ample availability from our revolving credit facility, and an actionable plan underway to return to positive and growing EBITDA. As always, we deeply appreciate the patience of all of our stakeholders and we look forward to delivering results. Now, I'd like to pass the call over to Bryan to provide in-depth details on our operations across both segments. I'll be available later on to answer any questions. Bryan, over to you.
Bryan Kitchen: Thanks, Ben, and thank you all for joining today's call. It's a pleasure to be on my first earnings call as CEO of Ascent, and I'm eagerly anticipating our conversations in the years ahead. When I first joined Ascent in September of 2023, I saw a strong foundation in the Specialty Chemical segment, a foundation that boasts multi-decade relationships with blue chip customers, an untapped product portfolio, diverse manufacturing capabilities, and redundancy across our sites that provide incredible reliability for our customers. At the same time, I knew that transformational change was going to take both time and reinvestment in talent, processes, tools, and capabilities. After digging in over the past six months, I'm pleased to report that there's even more value to be unlocked. With our success in identifying, attracting and recruiting top talent, my confidence in our potential grows every single day. Before I dive deeper into the progress we're making within our Specialty Chemicals business, I wanted to give you a bit more detail on our current stabilization initiatives within the Tubular Product segment. There is no doubt that our Tubular segment has faced a number of challenges over the years, but as Ben talked earlier, we're proud of the value we were able to generate through the sale of SPT. The rest of the segment faced challenges during the fourth quarter as we were still heavily affected by destocking and customers being over-inventoried. These macro trends combined with our make-to-order focus significantly impacted the profitability of the segment. While the initial rationale to pursue a make-to-order model had some validity, we found ourselves chasing demand for lower margin, higher volume products. Valuable lessons were learned, but our efforts will shift towards a more profitable and a more predictable business model moving forward. Coupled with that, we're seeing signs of optimism throughout our end markets, and it seems like destocking trends are beginning to reverse. Within our ASTI business, we're even starting to hear that some of the downstream markets for premium ornamental steel, like the marine industry, are slowly beginning to bounce back. We are seeing positive signs that indicate that we have turned the corner in the macro environment, so we are focused on positioning the segment to profitably capture the right opportunities. Our team is attacking all aspects of our cost structure while working to optimize our product mix. Through these efforts, we believe that we will start to see an improvement in our operational margins and see a more stable year for the Tubular Product segment. Looking at the bigger picture, our primary objective is to stabilize the business while preferentially allocating our capital to pursuing growth within the Specialty Chemical segment. Let's delve into that segment next. Much like the Tubular segment, we encountered challenges stemming from inventory destocking and a general downturn in industry demand. However, we managed to implement widespread price increases, mitigating some of the decline in demand and ongoing cost escalation. Operationally, we've established and activated a very strong cost reduction pipeline throughout the segment, set to bolster our profitability in 2024 and beyond. While there's considerable amount of work ahead, we're identifying numerous opportunities, both commercially and structurally, to achieve substantial cost savings. As we think about our long-term positioning, it's our mission in Specialty Chemicals to become a natural extension of our customers' operations, consistently delivering high-quality products on time and at a reasonable cost. In order to do so, we're recapitalizing our segment-level SG&A to unleash the fullest growth potential of our current asset base while working with our customers to improve the quality of our existing book of business. Without question, we have pockets of capacity that are not fully utilized. However, our goal is not simply to fill up this capacity. Much of our current demand-driven challenges stem from a strategic choice between volume and value. Our goal is to occupy our capacity with healthy margin business. This requires a deliberate shift in our product-sales mix, moving more towards ratable and predictable branded product sales. Fortunately, we're not starting from scratch. Our starting point is to dust off our current branded product portfolio rather than needing to invest heavily into R&D. Our new team is beginning to develop an exciting pipeline of new opportunities across both branded product sales and custom manufacturing. We're beginning to spread the word, and I look forward to sharing positive updates with you throughout 2024. Overall, across our entire business, we are working diligently to continue stabilizing our core foundation before we embark on any other inorganic growth initiatives. We are committed to creating predictable reliability for our customers, our shareholders, and our employees. While transformational change does not happen overnight, I firmly believe we are on the right path and have the potential to create significant value over the long term through measured and focused approach. I look forward to serving you as CEO going forward and unlocking the true potential of Ascent. I'd like to now turn it over to our CFO, Ryan Kavalauskas, to walk us through our fourth quarter and full year financial results in more detail. Ryan, the floor is yours.
Ryan Kavalauskas: Thank you, Bryan, and good afternoon, everyone. It's a pleasure to be participating in my first earnings call as CFO of Ascent. I'm truly excited about the opportunity to contribute to our company's journey and look forward to engaging in meaningful conversations with all of you in the years to come. Thank you for your trust and support as we continue to navigate forward together. Before we jump into it, on March 18, we filed for a 15-day extension with the SEC to file our 2023 annual report. We currently expect to file by end of day Monday, in compliance with that deadline, so be on the lookout. Now let's talk about our financial results starting with the fourth quarter. Net sales from continuing operations were $41.2 million compared to $54.2 million in the prior year period. This decrease was primarily due to lower end market demand and destocking trends across both segments. Gross profit from continuing operations was negative $2.1 million compared to $4.9 million in the fourth quarter 2022, while gross margin was negative 5.2% compared to 9% in the prior year period. The decrease was primarily a result of unfavorable product mix and working capital initiatives. Net loss from continuing operations in the fourth quarter was $7.5 million or negative $0.73 diluted loss per share compared to net income from continuing operations of $4.5 million or $0.43 diluted earnings per share for the fourth quarter of 2022. The decrease was primarily attributable to the aforementioned lower net sales, unfavorable product mix, along with increased investments related to efficiency optimization efforts. Adjusted EBITDA in the fourth quarter was negative $5.9 million compared to $1.7 million in the same period last year, and adjusted EBITDA margin was negative 14.4% compared to 3% in the same period last year. The decrease was primarily attributable to the aforementioned lower net sales. Now turning to our full year 2023 results, net sales from continuing operations were $193.2 million compared to $262 million in 2022. The decline was primarily due to decreases in volume throughout the year as a result of industry-wide destocking trends and challenging end markets resulting in decreased selling prices. Gross profit from continuing operations was $1.5 million compared to $43.3 million in 2022, while gross margin was 0.8% compared to 16.5% in the prior year. The decrease was primarily attributable to the aforementioned decline in net sales across both segments, along with increased input and labor costs and an unfavorable product mix compared to the prior year. Net loss from continuing operations was $34.2 million or negative $3.37 diluted earnings per share compared to net income from continuing operations of $17.6 million or $1.69 diluted earnings per share in the prior year due to the aforementioned decline in net sales and gross margin. Adjusted EBITDA was negative $15.9 million compared to $25.6 million in the prior year and adjusted EBITDA margin was negative 8.2% compared to 9.8% in the prior year. The decline is primarily attributable to lower operating margins across both segments compared to the prior year. Lastly, looking at our liquidity position as of December 31, 2023, we ended the year with zero outstanding debt and access to $61.8 million in availability under our revolving credit facility. We were able to fully pay off our debt with the proceeds from the sale of SPT in late December 2023. During the year, we also repurchased a total of 143,108 shares for approximately $1.3 million through our share repurchase program. With that, I'll now turn it back over to the operator for Q&A.
Operator: Thank you, sir. [Operator Instructions]. Our first question comes from the line of Vincent Anderson of Stifel. Please go ahead, Vincent.
Vincent Anderson: Yeah, thanks. Good evening, gentlemen. So I just wanted to kind of talk about the fourth quarter sales cadence. You had a pretty good sequential reduction in inventories yourself. So if I think about your commentary on destocking, was there anything proactive on your side as well to kind of, correct your own inventory levels, and maybe some of that created more one-time pressure in gross profit margins than we would have seen otherwise?
Ryan Kavalauskas: Yeah, I mean, we definitely took a look at our inventory over the year, and we made a concerted effort to either commercially attack some of the aging inventory we had or write-it off. So we did see some margin compression in the fourth quarter due to kind of cleaning up some of the inventory we had on our books. So going forward, Bryan and I will take a look at exactly what these inventories need to look like when we shift some of our commercial strategies, but some of the cleanup efforts definitely had a margin compression in the fourth quarter.
Vincent Anderson: Okay. All right. Now that's helpful. And then you might have touched on this already, so I apologize if I missed it, but the top line on chemicals, I think when we get the K, we'll see volumes versus price, but we had some pretty easy volume comps in the fourth quarter. Was there a bit more of a mix towards price coming back in with raw materials and volume stabilizing in 4Q, or was it still mostly driven by volumes?
Ryan Kavalauskas: Volumes definitely played a larger role in the compression in the fourth quarter. We did see some pricing headwinds, but it was largely volume-related.
Vincent Anderson: Okay. And then just kind of sticking with chemicals then, I mean, I know it's tough, but everywhere else we look, the commentary on end markets is generally stable. I mean, still some first-half weakness in crop chemicals, a little bit of weakness in care chemicals, but nothing too dramatic. Is that more or less the feedback that you're getting from customers, year-end working capital management aside? And if so, are you expecting better visibility on order patterns as we move through 2024?
Bryan Kitchen: Yeah, this is Bryan Vincent. So overall, from a market perspective, we're seeing a favorable tick-up related to ag. We're seeing a favorable tick-up related to water treatment. We're seeing, what I would say, stabilized demand in comparison to Q4 looking out into at least the first half of 2024.
Vincent Anderson: Okay. Excellent. And then, Bryan, you actually, you brought it up already, but branded products. So, it sounds like, you like the impact on capacity utilization relative to the SG&A investment or headache, depending on how you look at it. But how should we think about where the low-hanging fruit is in the existing Ascent portfolio, especially if we're talking about, like, speed to market, access to distribution, or if these are going to be direct product sales? I know it's early, but I'm guessing you've seen something in the portfolio already that has you talking about it.
Bryan Kitchen: Yeah. I mean, when you look at it from an overall sales cycle time standpoint for custom manufacturing or total manufacturing, you're looking at, 6 to 18 months from the time you uncover a prospect to when you actually commercialize that opportunity. Certainly, there are exceptions, but that's generally the norm. From a branded product sales standpoint, the qualification timeline is much, much smaller, much, much shorter. So that could be in the range of, one month to three months. The interesting thing about our existing portfolio that we have is it has a runway into a wide array of different market applications. And so, things like water treatment, things like oil and gas, things like textile chemicals, these are all capabilities that we have inside of our business today. And we just need to breathe a little bit of life back into it, right? And it comes through an increase in SG&A allocation, as well as a reallocation of SG&A as well, to really pivot and go after that book of business, because along with that, not only will we see an improved margin profile, but that ratability and that predictability is often much better when we're in control of our own branded product sales.
Vincent Anderson: Fair enough. And as you think about your kind of your contract business, are those logical customers to bring branded products to right away? Or kind of coming back to that sales channel question, what's kind of your easiest path to market with what you have right now?
Bryan Kitchen: Yeah, it's really market dependent. And if you look at kind of where we're focusing initially, there's not a lot of overlap with our existing customer base. And therefore, there's not a lot of conflict either. So that's really where we're running and gunning right out of the gate. Looking forward to reporting more favorable outcomes here in the coming quarters on that.
Vincent Anderson: All right, beautiful. And then actually, you already addressed the M&A strategy quite clearly. So I won't -- I'll leave that alone. And I think that's all from me. So thanks.
Bryan Kitchen: All right, great. Thanks, Vincent.
Operator: Thank you. [Operator Instructions]. Our next question comes from the line of private investor David Siegfried. Your question, please, David.
Unidentified Analyst: Hey, congratulations, Bryan and Ryan, on your appointment to the management team. Welcome. Yeah. So, impressive pay down in debt this year at $72 million in debt reduction. That's really good. Does that give the team flexibility to reinvest where you need to without extra expense?
Ryan Kavalauskas: Yeah, I'll take this one. It does, right? I think it allows Bryan and I to kind of refocus. And I think a lot of what we're looking at right now is how do we get back to the fundamentals across both segments? And how do we reallocate some of our capital to growing and growing and restabilizing the business? So coming in with a clean slate on the debt side, definitely gives us a lot of options. As Ben alluded to, M&A is far out in the future. We think we have a lot to do to kind of stabilize things and get the business to be more predictable, more ratable, as we said. So having that slate clean right now does allow us to strategically reinvest internally and commercially and things like that. So we will look at the opportunities there. But yes, having a clean slate is definitely helpful for us right now.
Unidentified Analyst: Okay. Now, I know last year was spent with streamlining tubular operations with Munhall being cut out and things being streamlined over at Bristol. So is there a lot of work left with Tubular to get that coming along? Or is that something where we can begin to see some profitability rather quickly?
Bryan Kitchen: Yeah, really, there's kind of two to three main areas where we're focusing our time and energy right now, David, with respect to tubular. I mean, beyond stabilization, a couple of key components for us as we think about stabilization is cost reduction, right? So there is still a significant amount of cost that can be extracted out of that business and given back to net income. And we believe that that can happen in the near term. So we're working feverishly on pulling those levers without jeopardizing safety or compliance. But yeah, in the near future, look to seeing those benefits. The other area that we're working hard on is what I would call core product line management. So taking a really deep analytical look at, the products that we're making and where are we making money and where are we not making money? That analysis has not been complete yet, but we look for it to be completed inside of the second quarter, along with actions being taken as a result of that.
Unidentified Analyst: Okay. And now you mentioned in the comments and in Vincent's questions, talking a little bit about branded product with the Chemical segment. Is that the same as proprietary product that the company has been working on for the last couple of years? That you can -- it's something that would have a higher margin. Is that something that -- is that the focus when you're talking about branded products?
Bryan Kitchen: Correct.
Unidentified Analyst: Okay.
Bryan Kitchen: And again, from a branded product or proprietary product perspective, we have, again, in our portfolio today, a set of branded products that can be taken out into a wide array of different markets. And we can do that without significant R&D dollars being invested into it. So existing products into existing markets, into existing applications.
Unidentified Analyst: Okay, good. I think one of the biggest challenges that I've seen since 2020, since the Board was refreshed, is just turnover on the management team. There's been promises, I would say, maybe limited follow through, just no one sticking around to see results. And it's always six months away, the results. So you think that you and -- Bryan and Ryan can do something special with what we have, with just the assets that we have without even acquisition? So that we look back in a couple of years and we have something special here.
Bryan Kitchen: Yeah, this is Bryan. So from my perspective, the answer is absolutely yes. I mean, Ryan and I have worked together for a number of years, outside of Ascent. And we've been a part of turnarounds in the past. I firmly believe that we can build something incredibly special within the existing asset base. I'm a big believer in organic growth. I'm a big believer in unleashing the fullest potential of the enterprise. And in order to do that, you've got to get the best talent on the planet, working together and making each other better every single day. And we're starting to build that momentum, David, right? We're just starting to build that momentum. And it's really exciting to see what's happening and what we believe will continue to happen in the near term.
Unidentified Analyst: Okay. Good to hear. And then, I know with M&A, it's, months off, whatever, but I guess my question is, is there a risk that as you build a foundation in chemicals and get, tubular, streamlined, whatever, that the pricing, you could miss an opportunity? Because the chemical market recovers and now all of a sudden we're paying more for an acquisition.
Bryan Kitchen: Sure, David, I would say that that is a risk, but I would also say that, our efforts towards, fixing the foundation, right, to stabilizing the enterprise, that's going to have a massive ROI in the future, especially as we look at integrating properties down the road. If we were to go out and acquire a company today, we would not get the full benefit of contemplated synergies.
Unidentified Analyst: Okay. Yeah. So looking kind of my rough math, it looks like in the last two years, '22 and '23, there was about $2.6 million spent on buybacks, 253,000 shares bought at an average cost of $10.27, according to my records. So it would seem like the $10 range is the -- do you still feel like it's a good deal considering what we have in front of us, earnings power ahead of us?
Ben Rosenzweig: Yeah, I mean, David, it's Ben. So I think the most important thing is to not be dogmatic about things like this, right? We live in a dynamic environment and information is very fluid. So we're constantly reassessing. So it's not just something where I said, we picked, 10 or 11 bucks a share, call it two years ago when we started buying back stock, and that's just going to be our number into the future. We're constantly processing the information we have. We get the real-time readouts of what the businesses are doing and we act on that information. I think you can see just in the past quarter, we have been buyers of the stock, I think, an average price of high nines or so. So that'll give you some insight into where we believe the intrinsic value is very recently, a good deal north of that. But we're going to continue to be flexible. And obviously we think that there's the potential for that to be very accretive use of our capital.
Unidentified Analyst: Yeah. And obviously with no debt, you do have firepower.
Ben Rosenzweig: That's right.
Unidentified Analyst: Yeah. Okay. So just one last thing I just want to mention, I know -- that's one thing I love about the Board that they're heavily invested, right? So I think some of us shareholders -- all of us would like to see -- there's three things I'd like to see going forward, just timely reporting of our quarterly reports. I would like to see a comprehensive plan articulated to investors, which I think today was a really, really good call for that. Also, I would like to see perhaps at some point a management team, which I could tell, Bryan and Ryan are in touch. And if you're really in touch, then we should be able to get guidance at some point. Is that something that you think we could be given at some point, maybe next quarter or following quarter after that, or as you get more comfortable?
Ben Rosenzweig: I think from the Board's perspective, David, the answer is there's always going to be, I think, a path towards directional guidance given, right? With the knowledge that the volatility in the earnings has made it very difficult for investors to be able to get confidence in what the business can and should be doing at any moment in time. And so we want to obviously smooth out the volatility, which we've worked very hard to do, even as it's been disruptive to the business, and be able to provide much more, I'll say, solid directional guidance. I'm of the view that of a business this size, that providing much more quantitative guidance with specific numbers or even specific number ranges is never a fruitful exercise for a business this size. But it's our goal to be a lot more transparent in what we're seeing and what we think we can do over any given time period. And we're certainly going to move towards that over the coming quarters. And you'll see that with Bryan and Ryan very much.
Unidentified Analyst: Good. Well, thank you, guys. I appreciate the time and good luck on the future.
Ben Rosenzweig: Great. Thanks, David.
Bryan Kitchen: Thanks, David.
Operator: Thank you. Our next question comes from the line of Matt Schwarz of MAZE Investments LLC. Your question, please, Matt.
Matthew Schwarz: Thanks for taking my question. Ben, you mentioned that there's no near-term M&A plan, but you're also discussed evaluating other strategies for capital deployment. So, I guess following up on the previous caller's questions around share buybacks, because I know you've been out in the market doing it regularly, smaller amounts. But would you consider doing something more aggressive on that front, whether it's a Dutch tender or something else, considering your views on future intrinsic value?
Ben Rosenzweig: Yeah, we would consider it.
Matthew Schwarz: Do you have any color on the type of firepower you would have to do something like that with the current balance sheet and the medium-term outlook?
Ben Rosenzweig: Well, that's what we're evaluating. I think the number one thing is to make sure that on an operational level, we feel very good about where we sit. At the end of the day, any sort of analysis is only as good as the inputs you put into it. So it's garbage in, garbage out. But we want to make sure that the inputs are very solid so that whatever decisions we do make, we feel very confident about them. So we're going to be fairly prescriptive in how we evaluate it. I mean, it's certainly very much talked about at the Board level, and it's something that I think I can contribute to. We all think we have very specific views about making sure the process is solid. But I think our goal is, whether it's the next time we're talking to you or shortly after that, to be able to be a little bit more specific in our confidence in the inputs that we're getting as the landscape evolves and our ability to begin allocating capital. Because I think having no debt is not necessarily the most optimal capital allocation if you think that your shares are trading below intrinsic value and you think you're in a business that's highly fragmented and has the opportunity to be value-add. So we think we're well-positioned from an opportunity standpoint. But I think, as David alluded to also, we don't want to be sitting here 12, 18 months from now not having allocated capital to anything because I think that would have been a missed opportunity.
Matthew Schwarz: Okay. And I'm sorry if I missed this earlier. I jumped on a little late. But I heard you talk about cutting some costs or recapitalizing some of the costs, segment-level SG&A on the Chemical side of the business. So is there any way to frame up -- or maybe it's just a bit too early to talk about what you view as the margin opportunity in the Chemical segment on a normalized basis?
Ryan Kavalauskas: I think it's a little early still. And I'll let Bryan speak a little bit to it. But we're still kind of evaluating the ongoing potential, right? We know the margins are compressed right now. And I think there's opportunities to buy better, to go out to market with better pricing. Those are some of the near-term actions. But I think it's early to say we're targeting x margin percentage at this segment. We just know it's compressed right now. We have an idea of maybe a ballpark. But right now, I think the main focus is on we've got to get the right size our cost structure, invest strategically, buy better, and price better. Those are kind of some of the main themes we're looking at. And I think Bryan can expand on that a little bit.
Bryan Kitchen: No, Ryan, I think you hit the nail on the head. We have a lot of runway, Matt, to generating additional gross margin, additional EBITDA through cost down initiatives. Cost down from a raw material standpoint, packaging, overhead, labor across the board. There are a lot of levers that we have at our disposal, levers that haven't been pulled on in the past to their fullest ability. So I'd say stay tuned. Probably a little bit too early time for guidance around what to expect in the near-term. But certainly from a long-term standpoint, high double-digit EBITDA margins is certainly within reach.
Matthew Schwarz: All right. Thank you.
Operator: Thank you. At this time, this concludes our question and answer session. I would now like to turn the call back over to Mr. Kitchen for closing remarks.
Bryan Kitchen: Great. Thank you, Lateef. We'd like to thank everyone for listening to today's call, and we look forward to speaking with each of you again when we report our first quarter 2024 results.
Operator: Ladies and gentlemen, this does conclude today's teleconference. You may disconnect your lines at this time. Thank you for your participation.